Operator: Ladies and gentlemen, welcome to the Albertsons Companies Fourth Quarter 2020 Conference Call. Thank you for standing by. [Operator Instructions] This call is being recorded. If you have any objections, please disconnect at this time. 
 I would now like to turn the call over to Melissa Plaisance, GVP of Treasury and Investor Relations. Thank you. You may begin. 
Melissa Plaisance: Good morning, and thank you for joining us for the Albertsons Companies Fourth Quarter 2020 Earnings Conference Call. With me today from the company are Vivek Sankaran, our President and CEO; and Bob Dimond, our CFO.  
 Today, Vivek will share insight into our fourth quarter and fiscal 2020 year-end results as well as review our progress against our strategic priorities. Bob will then provide the financial details of our fourth quarter and full year 2020 as well as our full year 2021 outlook before handing it back over to Vivek for some closing remarks. After management's comments, we will conduct a question-and-answer session.  
 I'd like to remind you that management may make statements during this call that include forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not limited to historical facts but contain information about future operating or financial performance. Forward-looking statements are based on our current expectations and assumptions and involve risks and uncertainties that could cause actual results or events to be materially different from those anticipated. These risks and uncertainties include those related to the COVID-19 pandemic. 
 Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are and will be contained from time to time in our SEC filings, including Form 10-Q, 10-K and 8-K. Any forward-looking statements we make today are only as of today's date, and we undertake no obligation to update or revise any such statements as a result of new information, future events or otherwise.  
 Please keep in mind that included in the financial statements and management's prepared remarks are certain non-GAAP measures. And historical financial information includes a reconciliation of net income to adjusted net income and adjusted EBITDA.  
 And with that, I will hand the call over to Vivek. 
Vivek Sankaran: Thank you, Melissa. Good morning, everyone, and thank you so much for joining us today. 
 I want to start today by thanking our associates for their unwavering commitment to take care of our customers, our communities and each other during every twist and turn of the pandemic over the last year. 2020 was a difficult year for all of us, and our hearts go out to all those directly impacted by the virus.  
 2020 was also a transformational year for Albertsons Companies. We deepened our relationships with customers and added many new ones through our execution in stores and through online channels. We accelerated digital transformation across our company. Almost every critical capability in our company is now enhanced with or enabled by technology.  
 We delivered our planned productivity target, and we added to it. We further strengthened our culture, learning how to sustain the flexibility and speed that comes with being locally great, while at the same time leveraging the scale benefit that comes to being nationally strong.  
 As I've mentioned throughout the year, our strategy is focused on building deep relationships with our customers. We support this strategy with our differentiated product offerings, anchored in fresh and Own Brands, our breadth of assortment so they can complete their shop with us, everyday execution excellence in every store and the suite of omnichannel capabilities that allow customers to conduct their shopping with us in any way they want. Our enhanced loyalty program is also resonating with customers as we provide them with personalized offerings and drive repeat shopping occasions.  
 As a result of our team's execution, we delivered strong performance in the fourth quarter and record results for the year. Our full year results exceeded our outlook across all key metrics, with ID sales up 16.9%, adjusted EBITDA up over 60% to $4.5 billion and adjusted EPS growing 212% to $3.24.  
 And Q4, ID sales were 11.8%, with continued market share gains in both dollars and units. Importantly, growth in Q4 remained strong across our geographies regardless of the level of COVID restrictions in place, giving us confidence in the sustainability of our competitiveness in the future.  
 Our digital initiatives were a key catalyst for growth. In Q4, digital sales growth accelerated to 282%, with growth of 258% for the full year. Membership in our just for U loyalty program continued to accelerate sequentially and has been up over 20% year-over-year each quarter and is now at 25.4 million members with a 93.1% retention rate. These members have been a key driver of share gains as they spend 2.6x more than nonregistered customers.  
 We've also increased the number of actively engaged customers almost 10%, who spend nearly 5x more than a nonactive customer. We know our retention rate is 34% greater when a household is actively engaged in our loyalty program.  
 We closed 2020 with almost 11 million more identified households shopping our stores than in 2019, allowing us to understand which categories they are purchasing with us for the first time, how often they're coming back to repurchase, how they're progressing up the loyalty ladder and their incremental spend levels as they migrate from in-store to omnichannel engagement with us. We ended fiscal 2020 with 3x the number of omnichannel households compared to fiscal 2019, fiscal year-end 2019. These households spend more with us and are more profitable.  
 We also saw that as customers moved into omnichannel, they also increased their spend in our stores with a net growth of 20% per household and a total spend rate 2x that of an exclusively in-store shopper. We also -- we saw even our most loyal households early last year purchased 2x the number of categories in our stores than the prior year, for example, in paper goods. And we're able to quickly reward these new category buyers with personalized deals to retain that category spend in our stores.  
 At the start of the fiscal 2020, I shared with you 4 strategic priorities that we are focused on: in-store excellence, accelerating our digital and omnichannel capabilities, driving productivity and strengthening our talent and culture. Regarding in-store excellence, our ability to create a one-stop shopping experience for our customers has remained a key differentiator for us, supported by the quality, variety and depth of our fresh and Own Brands offerings that give us a competitive advantage.  
 In fresh, we continued to see ID sales outpace center store by 300 basis points. Standouts during the quarter was seafood, meat, floral, as customers continue to spend more time at home. This trend continues as we see customers supplementing their weekly stock-up shop, filling in with fresh items in smaller chips during the week.  
 Our Own Brands portfolio also continues to gain traction driven by the introduction of new innovative products as well as our focus on Albertsons legacy divisions that were historically underpenetrated. Much of the disruption of the supply chain at the start of the year has abated, and penetration continued to improve in Q4 and is now exceeding 25%. We continue to expect Own Brands penetration to reach 30% in the next few years. With gross margins approximately 1,000 basis points higher than national brands, this should increase our flexibility to grow the business going forward.  
 We are continuing to innovate and expand our portfolio of brands, moving quickly to meet evolving consumer preferences. As a result, we launched over 1,200 items in fiscal 2020, well above our stated goal of 800-plus new items for the full year.  
 We're also working on some exciting changes to our meals program that will give us significant growth opportunities. We're expanding the rollout of our ready meals program in our United division to other divisions, where we make ready-to-eat, ready-to-heat and ready-to-cook meals in our stores.  
 Finally, we continue to invest in our stores. We opened 9 new stores and completed 409 upgrades and remodel projects during fiscal 2020.  
 Moving on to our second priority, the acceleration of our digital and omnichannel capabilities. Digital continues to be a key growth driver for us as we achieved over 200% digital sales growth in each quarter this year, demonstrating the strength of our digital offerings to capture consumer demand for more convenient shopping experiences.  
 Drive Up & grew go -- Drive Up & Go grew over 1,000% in Q4 and 865% during fiscal year 2020. We launched 343 new DUG locations in Q4, and DUG is now available in 1,420 stores. This puts us ahead of schedule, and we now expect to have DUG in approximately 2,000 stores with 98% coverage by the end of fiscal year '21, above our prior target of over 1,800 stores.  
 We're also extremely pleased about the profit curve in our digital business, particularly in Drive Up & Go. We are seeing our incremental DUG sales driving flow-through of mid to high single digits. And we expect that to continue improving as our DUG business continues to scale.  
 In 2020, we saw significant acceleration in consumer preferences towards digital, and we drove a step change in our digital offerings to meet this demand. During the year, we invested over $300 million to accelerate our offerings and launch new capabilities.  
 To enhance the customer experience, we've improved our on-time tilling and delivery to 95%, enabling consistent on-time delivery and DUG pickups. We leveraged our loyalty program to provide exclusive events like virtual cook-alongs with celebrity chefs. We began a trial of an automated electric delivery robot powered by Tortoise and continued to pilot a number of walk up and go options, including walk-up counters, pickup lockers and stand-alone kiosks. And we're testing in-market an integrated loyalty and e-commerce app, offering an effortless ordering experience to a single interface.  
 And to improve the profitability of the business, we shifted delivery at many of our locations' third-party logistics providers to improve speed and lower costs. We improved our picking software, optimizing and standardizing the picking process to drive cost reduction through increased picks per hour and improved auto prioritization.  
 From our 2 MFC installations, as in-stock commissions have improved, we have learned that the labor cost per order can be dramatically reduced without compromising the breadth of assortment and the customization a customer can get from our store. We're opening our third MFC this week and have plans for an additional 6 before the end of our fiscal year, bringing our total to 9 MFCs.  
 Our third strategic priority is driving productivity to support reinvestment in the business and help offset inflation. We achieved approximately $500 million in gross productivity savings in fiscal 2020 as a result of our actions with large contributions from indirect spend, labor productivity and shrink reduction.  
 Given our progress to date and incremental opportunities we see ahead, we now expect to exceed our goal of $1 billion in gross savings by the end of fiscal year '22 and have increased our cumulative target to $1.5 billion. The additional $500 million in savings is principally driven by new projects related to the transformation of our supply chain and the additional cost-reduction programs and further optimization of our promotional spend.  
 Our fourth priority is strengthening our talent and culture and supporting the communities we serve. We are committed to adding talent in key areas and recently announced that we have hired a new Chief Data Officer to lead efforts in translating data into an enhanced customer experience.  
 In addition, I would like to call out the contributions of our pharmacy teams to our communities. Partnering with the Department of Health and Human Services and with local authorities, they have administered 3.1 million COVID vaccine doses as of Friday last week. We are very proud of how nimble our pharmacy teams have been to support this effort, delivering the service in our stores and in several offsite locations, enabling easy scheduling through our app, executing with high throughput and emphasizing equitable distribution and dispensing of vaccines.  
 We are now providing access to vaccines to 100% of our locations. In total, we have hired 1,000 new associates and trained 2,000 pharmacy technicians to support this effort and invested in technology solutions, including handheld devices to make it easier for our associates to facilitate these transactions outside our stores.  
 During fiscal 2020, we also supported our communities with food and charitable donations totaling $260 million. For example, through our Albertsons foundation, Nourishing Neighbors program, we gave $95 million to support -- of support to the communities in which we operate and reached 13 million individuals and over 3,000 organizations. And we assisted our neighbors in Texas following the unprecedented winter storm there, matching the first $250,000 raised in our stores.  
 These actions are all part of our ongoing focus on ESG. We recently completed a new materiality assessment, which will be the foundation for our ESG strategy and initiatives going forward as our efforts here continue to evolve.  
 We've already identified high priority areas. And you can expect to hear more from us on topics such as diversity, equity and inclusion, energy and emissions, product and consumer packaging, food waste and community stewardship. And last week, we announced our commitment to setting a science-based target to reduce carbon emissions.  
 And now I would like to ask Bob to cover the details of our fourth quarter financial results. 
Robert Dimond: Thanks, Vivek, and hello, everyone. I'm pleased to provide details on our strong fourth quarter and record fiscal 2020 results. For the quarter, total sales were $15.8 billion driven by our 11.8% increase in identical sales.  
 Our gross profit margin increased to 28.9% during the fourth quarter of 2020 compared to 28.6% in Q4 2019. Excluding the impact of fuel, our gross profit margin increased 10 basis points primarily driven by improvements in shrink expense and sales leverage, partially offset by investments related to our growth in digital and strategic investments in price.  
 We continued to see significant sales leverage on expenses in the fourth quarter. Excluding fuel and onetime pension charges, our selling and administrative expenses decreased 80 basis points compared to the fourth quarter last year. Incremental COVID costs during Q4 totaled approximately $110 million. Interest expense declined $28 million to $113 million during the fourth quarter of 2020 compared to $141 million during the same quarter last year primarily driven by lower average interest rates as a result of our refinancing transactions and lower outstanding borrowings.  
 Adjusted EBITDA was $917 million compared to $756 million or $702 million excluding the extra week during the fourth quarter of fiscal 2019. The 30% growth in adjusted EBITDA represents a strong flow-through of approximately 15%. Adjusted net income was $347 million or $0.60 per fully diluted share compared to $194 million or $0.33 per diluted share during the fourth quarter last year.  
 Turning to the full year. We delivered strong results that were above the outlook we provided last quarter. Identical sales finished the year at 16.9%, above our expectation of approximately 16.5%. Adjusted EBITDA finished the year at $4.5 billion driven by strong sales leverage, both in gross margin and in selling and administrative expenses that translated to strong flow-through. Adjusted EPS finished the year at $3.24, which was $0.09 per share above the top end of the range of our outlook we provided during the third quarter call.  
 Our strong sales results -- our strong results have generated very robust operating free cash flow of $2.3 billion in fiscal 2020. Our capital allocation priorities remain unchanged and include reinvestment to drive profitable growth, continued deleveraging and returns to shareholders through our $0.40 per share annual dividend and opportunistic share repurchases.  
 Capital expenditures were approximately $1.63 billion during the year, and we completed 409 remodels. We also accelerated technology-related investments, including those in digital. As we've outlined, these high-return projects included both in-store and productivity initiatives in manufacturing and supply chain and in merchandising to expand our meals program as well as in digital, including incremental DUG rollouts and other technology initiatives intended to drive efficiencies and future productivity. But at the same time, we generated asset sale proceeds of approximately $161 million as we continue to actively manage and selectively monetize our real estate portfolio.  
 We made significant progress in delevering the balance sheet and reduced our debt during the year by $400 million and refinanced debt at very attractive rates. These actions will save the company approximately $77 million of interest expense on an annualized basis. Given these actions and the strength of our cash flows, our net debt-to-adjusted EBITDA ratio is now 1.5x on an LTM basis. Finally, we completed stock repurchases of $119 million under the company's $300 million authorization in fiscal year 2020.  
 Turning to the outlook we provided this morning on fiscal year 2021. I'd like to provide some details and color. As you know, because of the way 2020 played out with some of the pantry loading we saw early in fiscal 2020, we think it's appropriate to provide guidance through a 2-year lens against 2019 to show the step-change improvement in our business.  
 We expect identical sales on a 2-year stacked basis to be in the range of approximately 9.5% to 11%. We expect adjusted EPS in the range of $1.95 to $2.05 per share, which represents over 37% compound annual growth compared to 2019. We expect adjusted EBITDA in the range of $3.5 billion to $3.6 billion, representing compound annual growth of 13% at the midpoint of our range compared to 2019.  
 We also expect to spend $1.9 billion to $2 billion in capital expenditures, which includes incremental capital for high-ROI projects that include in-store remodels that will have near-term paybacks as well as our continued acceleration of digital and technology investments. The implied growth in sales and related flow-through to EBITDA on a 2-year basis on this guidance continues to be industry-leading even as we continue to make investments designed to drive long-term sustainable growth.  
 As you think about the year, we want to point out a couple of items that will impact the cadence of the annual guidance within fiscal 2021. As you know, fuel margins spiked significantly during the onset of COVID-19. And as such, we expect fuel to be a headwind during the first quarter of approximately $50 million. In addition, the incremental productivity savings that Vivek mentioned will be ramping up and more heavily weighted to the second half of fiscal '21, enhancing our confidence in achieving our EBITDA and EPS goals.  
 Before I turn it back to Vivek, I want to spend a brief moment to discuss the impact of the American Rescue Plan Act on our multi-employer pension plans, in which $86 billion were earmarked for underfunded multi-employer pension plans. The net effect of this legislation safeguards and protects benefits of the retirees in these plans for at least the next 30 years.  
 In terms of the impact to Albertsons Companies, the multi-employer plans that are classified as critical or critical and declining are likely to be eligible for some level of relief under the special financial assistance through ARPA. While the amount of financial assistance received will vary by plan, we currently estimate that these plans represent over 90% of our estimated share of the $4.7 billion total underfunding of all the multi-employer plans to which we contribute.  
 Pending details on how the program will work, we expect the financial assistance program will provide the necessary funding for the multi-employer plans to which we contribute to remain solvent through at least 2051. It also ensures the help of the PBGC, which is the guarantor of participant benefits for these multi-employer plans.  
 We do not anticipate that our cash contributions to these plans will change in the near term as we continue to fund what we always have based upon collective bargaining agreements. And as we have consistently indicated, the legislation confirms that the underfunded liability related to these plans is not an obligation of the company.  
 And now Vivek will provide some closing remarks. 
Vivek Sankaran: Thank you, Bob. Before we turn to Q&A, I want to share a few closing remarks. Fiscal 2020 was a transformational year for Albertsons Companies, and we believe the changes we have made to our business have enhanced our ability to retain our customers, continue to drive share growth and grow from a higher baseline relative to our pre-pandemic trajectory.  
 We have learned a lot from the pandemic, both in terms of customer behavior and how to operate the business more efficiently. We are emerging from this crisis more digitally focused, both in-store and online, and elevating the service our customers expect, while at the same time, being more productive and doing so delivering more profitable growth.  
 We further strengthened our financial position. We've generated strong free cash flow, allowing us to accelerate investments in initiatives that will support future growth, reduce debt, pay our dividend and repurchase shares. And through debt reduction and refinancings, we have truly transformed the balance sheet, and we are approaching the future from a much stronger position.  
 And we are continuing to develop and execute our ESG agenda, enhancing the sustainability of our operations, supporting the communities in which we operate and investing in people with an unwavering commitment to diversity and inclusion across the organization.  
 As I reflect on some recent topics of interest in our industry, I would like to share some insights on the first 7 weeks of fiscal year '21. I realize this is unusual, but we live in unusual times, and you will ask us these questions anyway. So here goes.  
 Our sales momentum continues with growth in market share in food and on a 2-year basis in MULO. When looking at our average weekly sales dollars, sales are trending at approximately the same levels that we exited the fourth quarter on a seasonally adjusted basis, taking account -- taking into account holidays in spite of significant business reopenings across the country.  
 We are seeing continued strength in sales of items that have been elevated throughout the pandemic such as meat, seafood, produce, eggs, breakfast cereal and high-end wines that provide evidence that some important food and beverage categories that shifted from food away from home are still being consumed at home. But we've also seen, as we expected, some categories falling below pandemic levels such as soup, pasta and pasta sauce.  
 While food-at-home inflation is still at recent high levels and could be sustained at these levels for some time, we have planned our business assuming inflation of 1% to 2% this fiscal year. And we expect a rational competitive environment to prevail driven by relatively tight supply, sophistication and promotion management and more digital promotions.  
 With all this as a backdrop, we are confident in our ability to continue to produce strong results. I want to reiterate my thanks to our entire team of approximately 300,000 associates. I'm so proud of what they have done to serve our customers and communities over the last 13 months. And we'll now take your questions. 
Operator: [Operator Instructions] Our first question today is coming from Edward Kelly from Wells Fargo. 
Edward Kelly: Vivek, I just wanted to first just clarify one thing that you said about quarter-to-date trends. I think you said in line with the exit of Q4. So I guess at the end of the day, are you talking about quarter-to-date trends that are above the high end, that 11% number that you talked about for the 2-year stack expectation for 2021? 
Vivek Sankaran: No, Ed. The way to think of it is what we've tried to do -- because it's so difficult to think about the laps and such, we have tried to model the business on dollar sales on a weekly basis, okay? And the assumption we had made going into the year is that the dollar sales on a weekly basis will kind of remain like the way we closed out the year, the last few months of how we closed out last year and of course, adjusting it seasonally. And that's what we're seeing. So Bob, would you add anything to that from a... 
Robert Dimond: Yes. 
Vivek Sankaran: Stack standpoint. 
Robert Dimond: Yes. From a stack perspective, there will be some differences by quarter. But we think the right way to try to make sure that we forecast the quarter is as Vivek suggested, which is taking a look at the absolute sales dollars and trend those forward. And that's what we've done to begin the year, and we're tracking along that very closely. 
Edward Kelly: Okay. And just thoughts around how you think about the cadence of the IDs throughout the year. If you're -- if we're back to this like 9.5% to 11% stack, I would assume that we have some deceleration in the back half. How are you thinking about the cadence of that? 
 And then I did have a follow-up on this, the differences geographically because you've said that they've been kind of consistent. Maybe just more color there because I don't think dining out trends are consistent, right? There do seem to be differences with, say, states that have less restrictions, for instance. 
Vivek Sankaran: Yes, Ed. So the way we've thought about the business, the further out you go, the harder it comes to predict what the top line is going to be, which is why we've said we want to have strong productivity programs yielding in the second half of the year. So if the sales turn out to be better than we have imagined, it will be a strong second half on multiple dimensions. But we've made sure that we have that cushion of productivity in the second half of the year. 
 Now the -- on your second point, in terms of geographic, in Q4, we certainly didn't see it. But what happens when you get into Q1, you're seeing some very big differences in laps across regions, right? So part of it, so we're going through a very noisy period right now between what happened last year and what's happening now. So I'm not going to conclude that we are not going to see differences in reopenings this quarter. What -- the statement we made in the discussion was about last quarter. 
Edward Kelly: Okay. And then just last one for you. The incremental $500 million in cost saves, can you just provide a bit more color around where they came from? And then I assume some of this maybe gets reinvested in the business. How do we think about sort of like what's reinvested, what's not and the priorities there? 
Vivek Sankaran: Yes. So let's start with that philosophy. We -- where we generate productivity, there's always productivity that's going into reinvesting in the business to make us stronger, be ahead on capabilities. And there's some productivity that's always there for a rainy day, right, to take to the bottom line. That's how we think about it. And we'll always have that mindset in this business. 
 And so now let's talk about the $500 million. I would frame it this way. The -- we -- one of the great things about our company is that we are incredibly locally nimble. And we've learned a lot through this pandemic how that is an advantage to us and how we are able to react with speed. 
 But we've also learned through the pandemic. One of that is extremely important to preserve, okay? And we're going to preserve that. But we also -- we have 13 divisions that -- we have 13 supply chains in the company, and we have 13 buying organizations in the company. They're going to change some aspects of that. And by changing some aspects of that, we get a lot of leverage, both in the supply chain and the design of the supply chain and what -- and making things easier for our supplier partners and in the discussions on how we buy. So those are completely 2 new topics that are substantial programs that we've launched and will continue over the next 2 years. 
Operator: Our next question is coming from Ken Goldman from JPMorgan. 
Kenneth Goldman: I wanted to follow-up on Ed's question but not from this quarter, from last quarter when Ed asked, I think, about the gross margin. And Bob, I think at the time, you said it should be relatively flat. You weren't quantifying it necessarily, but I just wanted to see if there was any update there. Anything you could tell us about your gross margin ex fuel for 2021 with the benefit of a little more time. 
Robert Dimond: Yes. We're still -- well, first of all, I'll start off a little bit with the comment that Vivek just made. Because of some of the productivity initiatives that we have, we actually generate tailwinds, as we call them, to our gross margin. And so because we have that benefit, we do feel confident that kind of overall, we're going to end up with gross margin for fiscal '21 to be directional to what we saw here for the full year in 2020. 
 Now it won't necessarily be exactly the same cadence by quarter because there were some kind of big swings in the first couple of quarters. So you need to kind of seasonalize that to a typical year. But overall, we feel very good about our ability to kind of keep gross margins at the full year level. And the -- which is a nice step-up from where we were running in 2019, of course. 
Vivek Sankaran: Yes, Ken, I mean, if you think about -- I'll give you 4 initiatives. All of these are substantial, right? So I've always talked to you about this notion of we're going to have gross margin tailwinds and that we judiciously invest back so that we can strengthen the business. 
 So 4 big ones. First is Own Brands penetration coming back, 1,000 basis points on every one of those items. 
 The second is we are excited about our shrink initiatives. It's redoubling our confidence that our shrink initiatives are working. 
 And then we just added 2 big ones: supply chain and the entirely -- the entire cost of goods that buying the cost -- buying those things differently, right? Those things that are mostly national. Those are substantial pools of gross margin tailwinds. And then there's the mix issues. But -- and even those, so I'll stop with those 4. And we see a lot of upside there. 
Kenneth Goldman: Okay. No, that is helpful. And then, Vivek, I wanted to follow up. You gave some examples of some categories that continued to do well after some areas have reopened, meat, seafood, cereal, wine, I think. 
Vivek Sankaran: Yes. 
Kenneth Goldman: You also gave some examples. I think you said soup and pasta, maybe pasta sauce that are sort of below recent levels. I wanted to know if you -- and I don't mean to put you on the spot here, but I can understand the meat and the seafood side, the wine side, surely. But what is the distinction between certain sort of center store categories, whether it's cereal or pasta or soup? What do you think is driving one to continue to do better versus another that isn't necessarily doing quite as well? Or is it really just a question of, hey, people stock up on things like soup and pasta, and you're just lapping it. Is that the issue? 
Vivek Sankaran: That's it, Ken. You got -- so what you're seeing is so, hey, nobody is short on paper now, right? So I think we're seeing things that have been loaded in the store, and so that's -- sorry, in the pantry. So you've got that. That's always there. And -- but you're working more from home, and you're eating more breakfast at home, and you're eating more lunches at home, which is continuing to drive that fresh consumption. 
 So it's remarkable. We're continuing to see steady fresh consumption and the same kind of frequency of purchases on fresh. And people are feeling comfortable that they've got enough in the pantry on some other products. 
Operator: Our next question today is coming from Robby Ohmes from Bank of America Merrill Lynch. 
Robert Ohmes: Vivek, I was hoping you could talk a little bit more about the 1% to 2% food-at-home inflation assumptions that you guys are thinking about for this year. And maybe weave into that a lot of the CPG companies have obviously been talking about pushing through a fair amount of price increases this year. How does that play out in your thinking? 
 And maybe about -- you guys mentioned in the press release strategic price investments that you made this quarter. How are you thinking about price investments this year? And we're seeing competitive promotions are coming back within the industry. You can see it in the Nielsen data. Maybe you could just tell us about the scenarios you've been thinking about for how food inflation could play out this year? 
Vivek Sankaran: Yes. So Robby, let me give you some context, and then I'll let Bob add color to it, too. So the 1% to 2% is a planning assumption. And we like that because we know we can -- at a 3% to 4% inflation, it's a better thing for our business, right? It's a better outcome in our P&L. So we plan at the 1% to 2% and then see how -- and then go from there. We're seeing a 3% to 4% inflation, like you've all seen it. 
 Now I have no idea where the inflation is going to land. We don't, right? But here's a few things to consider. One is that the demand is still ahead of supply in so many categories. It's still the case, okay? 
 Two, we've got a consumer -- I -- we should never generalize this. But by and large, the consumer is healthy. They've got cash. And so to me, if it's a demand-driven inflation, I think you're going to see consumers still shopping these categories. 
 Now when it comes -- if it goes beyond that 3% to 4%, then here's what's going to happen. We are going to be -- we're going to have difficult conversations about how much we can accept because we're not going to pass-through all of it. And we're going to have difficult conversations up and down the supply chain if it gets to a place where it's going to exceed that 3% to 4%. 
 The last thing I'll leave you with is yes, these -- a lot of this inflation that you're hearing about from CPGs and others, the nice thing about when it is planned and when it is -- when you have some sense for how it might shape up, it's more manageable. The ones we worry about are the spikes. And we're not seeing any of those emerging at this time, Robby, but that's the planning approach we've taken to inflation. Bob, anything else you'd add? 
Robert Dimond: I think you've covered it well. The 1% to 2% really is just our baseline planning process, and any upside from that typically will flow through either to the bottom line or we may choose to utilize that to drive the top line. But I think you've covered it well. 
Vivek Sankaran: And in pricing, Robby, our pricing investments continue. We do it surgically. We're doing it in all the time, every quarter in different markets. 
 And when it comes to promotions, we are not seeing a significant step-up anywhere in the market. We think it's quite rational, and we're all going more digital. So it's not going to be -- it's not going to see a big step-up in the Wednesday flyer from 4 pages to 10 pages. 
Robert Ohmes: That's really helpful. And just a quick follow-up on DUG profitability. It sounds like you're feeling better about it going forward. Is that more about efficiencies you figured out on executing that, that's made it a lot more profitable at the store level? Or are you seeing something on the MFCs working that makes you feel like you maybe figured something out there? 
Vivek Sankaran: Both. So what happens with DUG is as you see the orders per store going up, you can literally see the labor cost curve, right? It comes down pretty rapidly. It's an exponential curve. And so you see that, and you -- so when you get to a certain level of orders per store, your labor cost becomes better. And we're starting to get to that, right, in many of our stores. 
 The second thing we have done, we've launched new picking algorithms. And the other thing, when you get a lot more scale, your picking becomes more efficient, right? That's why your cost comes down. We've got new picking software in place. 
 And the third thing we're seeing is that as things get better in stock, right, and you're having -- you're not having to go out of the MFC to go pick in the store, you're seeing better efficiencies in the MFC itself. So we're adding all these up, Robby, and starting to feel really good that DUG can be a profitable engine within the eCommerce offerings that we have. 
Operator: Our next question today is coming from Simeon Gutman from Morgan Stanley. 
Michael Kessler: This is actually Michael Kessler on for Simeon. First question, actually, on your guys kind of promotional strategies, and you've talked a lot about being more targeted and surgical with high level. And I would just love to get an update on the progress you guys have made. Are there any, I don't know, examples you can point to? And maybe I don't know if you have kind of an inning or kind of a road map for how that plays out? And also how does that kind of interplay with the price investments that you guys have spoke to and how that's trending? 
Vivek Sankaran: Yes. So think of 2 different things that we're doing. One is we have -- now all our promotions are made on one platform across the company, okay? And it's a platform that our merchants access. And because it's all technology and we can see the data, our pricing team can look at the totality of the promotions and get a sense for where people are heading. So we -- what that does is it allows us to maintain that local nature of being reactive and appropriate in the market yet being able to see the full picture from here because we are now on one technology platform. So that's tremendously helpful. 
 The second thing I mentioned to you is that we now have 25.4 million people on just for U. And so we've just added another 1 million -- 1.1 million just last quarter. And those 25.4 million people get promotions targeted to them, right? It's -- we can access them. They can access it digitally, we access them digitally. 
 So at the underlying all of these promotions is a technology capability, right? So on that -- on the second one, we've had it for a long time, we just get smarter and smarter about using it. The first one I mentioned, we rolled it out across last -- during the pandemic, we've rolled it out. And we are continuing to improve it. On that one, I'd say, if that was a baseball game, we're probably in our third inning there, right? We have a lot more to go in terms of optimizing it. 
Michael Kessler: Great. That's very helpful. And a follow-up actually on Robby's question on Drive Up and the profitability there and the comments, I think, Bob, you made or one of you guys made on mid to high single digits flow-through on that. I guess, number one, is that on an EBIT basis? And I'd love to hear maybe some of the assumptions that you guys have kind of used whether -- as far as incrementality, how that's factored into that number? And I guess also, does that kind of imply that given the incremental cost of delivery versus Drive Up that delivery is more like maybe flattish or even loss-making? 
 And I guess how are you guys are thinking about looking to improve that? Or is that something where it's kind of the reality of the business as it stands right now, and you're willing to accept it for the sales? 
Vivek Sankaran: Yes. Let me provide a little bit of context, and then I'll have Bob talk to you specifically about the flow-through and the EBIT piece. You're right. The delivery business is not profitable. The DUG business is, because it's harder to recover the delivery cost. And we -- as you know, though, we just have shifted a lot more of that where we are using third parties, and so we are on the path to improve that side of the business. But that will be the harder one to get right on profitability over time. 
 Now here's the other thing. Yes, we are excited about the incrementality, and we can see incrementality because we know the customer. We know that she bought -- spent $100 with us typically, and now she's spending $125 with us. And so -- and that $25 is coming from eCommerce. And so we're able to track that incrementality. 
 But we are fully cognizant that you don't build a big business all purely around incrementality because at some point, that business, too, has to become, on a unit basis, profitable. But we've got some time, right? We've got other things in our P&L that are driving productivity that can allow us to make these investments. And that's how we're working it, and I talked to you about some of those improvement initiatives in eCommerce. But Bob, can you clarify the flow-through comment? 
Robert Dimond: Yes, definitely. So when we look at DUG, as you know, we had -- that was our fastest-growing segment of our eCommerce this past year. And because of that, we're getting tremendous scale benefits, which are now coming through in our latter quarters where we are seeing, on an incremental basis, the mid- to high single-digit EBITDA is what we're looking at there, which is effectively the same as EBIT in that particular business because there's not much amortization. 
 But anyway, so we just look forward to as we continue to see that business scale even higher as well as factor in the savings from MFCs in the future that, that mid- to single -- mid- to high single-digit rate will continue to improve. 
Vivek Sankaran: Yes. And the only thing I'll add on delivery is we have prioritized speed. We believe time is money, that people are going to expect shorter and shorter delivery windows. And we have absolutely prioritized that, and that fits with what we're doing with stores and MFCs. And we'll keep -- stay on that path for a long time. 
Operator: Next question today is coming from Karen Short from Barclays. 
Karen Short: I just wanted to go back to this weekly sales commentary as it relates to 1Q. So if I take what the weekly sales look like they were doing in 4Q, I'm not doing average weekly sales per store, but just weekly sales. And I bring that forward to 1Q, I'm backing into kind of a negative [ 9.5% ] comp in 1Q. And can you maybe just let me know if that's kind of directionally accurate? Because I think the way you described it was just a little nuanced. 
Robert Dimond: Yes. 
Vivek Sankaran: Go ahead, Bob. 
Robert Dimond: Yes. I'll start off, and Vivek, you can fill in any blanks that you think I missed. First of all, what you need to do is take a -- we took the fourth quarter average weekly sale run rate, but then we had to adjust it seasonally for the first quarter because as you know, we have stronger holidays in the fourth quarter we need to kind of normalize there, if you will. So that would be maybe the one adjustment that I would say relative to what I think I heard you say. 
Vivek Sankaran: Yes. And I'd rather not comment on comps at this time, Karen, but we wanted to give you some sense for the momentum in the business by giving you that -- those -- at least that additional information for this Q1. 
Robert Dimond: Yes. And the other thing that we feel really positive about is it's not only the continued momentum there, but we're also seeing the continued momentum of market share gain. 
Vivek Sankaran: Yes. 
Karen Short: Right. No, no, that's helpful. I just wanted to make sure because it was a very nuanced comment. And then I wanted to just clarify. So when we look at EBITDA, by my math, I think the right number, total COVID costs embedded in the 2020 EBITDA number was $875 million. So can you just confirm that? Because I guess what I'm trying to look at is when I look at the midpoint of your guidance, call it, $3.55 billion for 2021, and I'm kind of trying to think intellectually about how that should compare to the $4.524 billion that you reported? Because presumably, that $875 million goes away in 2021? Or -- and/or doesn't increase. So like net -- it's a net flat number, right? 
Robert Dimond: Yes. I think you're directionally correct there. Remember that the first quarter had the biggest chunk of it, right? And we had announced that we had roughly $600 million in the first quarter. I think we added back a small portion of that, but that was directionally the number there. And then we had an additional just over $100 million per quarter after that. 
Karen Short: Okay. And then sorry, 2 housekeeping questions. I don't know if you did give us fuel in terms of the impact in 1Q. Is there any way you could give us fuel for the year in terms of what you thought was outsized in dollars? And then the second question I had is just on this hero pay initiative in California broadly, how have you factored that into your guidance? 
Robert Dimond: Yes. I'll first take the fuel piece. Our intention was not to provide quarterly guidance for fuel or any other lines other than we wanted to call out that fuel was going to be a headwind in the first quarter. I would say, for the year, it's directionally that amount of headwind for the full year. So the impact is really a first quarter primary event. There's certainly smaller impacts by quarter, but I prefer not to try to list what those are that kind of net out. 
Vivek Sankaran: Yes. And the hazard pay that we're seeing in certain pockets of the country, Karen, look, those are -- we are -- we think that those will abate as vaccination -- people get vaccinated. And I wouldn't want to say it's not material, but we -- it is part of our planning, and we're going to absorb it. 
Operator: Next question is coming from Beth Reed from RBC Capital Markets. 
Beth Reed Pricoli: I just had a couple of quick ones. On your ID sales guide, what are the embedded expectations for share gains in that? And then just wondering if you could comment on any potential impact from stimulus on quarter-to-date trends? 
Robert Dimond: Yes. As far as your first question on market share gains, I mean, we would hope that we'll continue to see the trend that we're seeing now. That's kind of a hard one to predict as we move forward, though. 
Vivek Sankaran: Yes. It's -- the thing about share gains is we had such a tremendous year in 2020. And so if you look at it on a 1-year stack, it just becomes difficult. It will be likely that we would -- share will look negative. 
 But what we've looked at is on a 2-year basis. And on a 2-year basis, there's substantial share gains. And we're seeing that happening even through the first part of this quarter. 
 So -- and then on the stimulus, what's interesting is that when we look at different segments of our shoppers, let me stay with income for now, we are -- we continue to see -- we haven't seen a dramatic shift in consumption patterns for lower-income households if the stimulus mattered to them. We were doing better with them prestimulus, and we continue to do well with them. So I haven't seen a substantial change from the stimulus itself, at least for us. 
Beth Reed Pricoli: Okay. That's helpful. And then just going back to the gross margin for a second. Can you talk a bit about some of the mix improvements that you've been seeing there and how you see those playing out over the course of the year? 
Vivek Sankaran: Yes. Mix improvement is a very deliberate approach we take, right? And that's been historical that the Albertsons Companies is simple as something that sell a cut watermelon or cut asparagus instead of a whole watermelon. And so those initiatives, we continue to find new ways of doing those types of things. 
 The meals initiatives that we are rolling out are again, gross margin enhancers. And so -- and the Own Brands are gross margin enhancers. When you do well in fresh, and we continue to do well in fresh, that's a gross margin enhancer, notwithstanding all of the other things that I talked about that are productivity-oriented, right? So we -- again, I come back to both your questions and others on gross margin. We believe that we have plenty of tailwind. 
Operator: Our next question is coming from Scott Mushkin from R5 Capital. 
Scott Mushkin: I wanted to talk a little bit about the store environment as you grow pickup and delivery. How do you keep the store environment good for people to actually want to come into the store? And then you're probably rotating labor from customer-facing activities to picking activities. And I wanted to see how you guys are attacking that issue as well. 
Vivek Sankaran: Scott, we are not doing the latter, right? We are not saying, "Hey, we're going to sacrifice service in one part of the store to support another part of the store." 
 So when it comes to the front-end, we have -- it's a completely different system that allocates what labor needs to go to our front-end of a store. It's based on historical and predicted demand, and we do that. And we hold people to that standard on that front. 
 We're adding labor to the store for eCommerce, which is where -- which is why -- and you have to add that labor in kind of like block increments. You don't say it's half a personnel, you have to add a block to get it going, which is why as orders go up in a store, you see this thing -- you see the improvement in profitability. 
 Now the other thing I'll tell you, Scott, is we are a higher index on fresh. The way you win in fresh, you don't just stock it up in the morning and then revisit it at the end of the day or the next morning. You're in the store working fresh all the time. And so part of that is a labor model that allows us to be great at fresh, right? 
 And by the way, that same philosophy exists in much of the store. So in our stores, you'll see people working the store through the day so that the store remains fresh and stocked even while people are picking the store. And so that's the philosophy we've taken. We've not had -- run into that issue yet where a store is depleted or overcrowded for eCommerce. 
Scott Mushkin: Okay. And as a follow-up to this question, The Wall Street Journal had an article talking about the competition for labor. And given that you guys are growing these businesses where you're going to be adding labor, how should we look at kind of labor costs as the year progresses? Is it something you guys worry about? And what are you doing to control that line item? 
Vivek Sankaran: Yes, Scott, a lot of our labor is unionized, and we have contracts with our unions. They come up every so often for renewal, and they're typically negotiated for 3 years or 5 years. And so a lot of our wages are, in that sense, predictable. 
 And so we really focus a lot more on hours. So you add hours in some places. You drive productivity in other places to take the hours back out. And then we have all of these initiatives, right, like we've talked about in the past: FaR, which is an ordering program, production scheduling programs, et cetera, that drive -- and automation that we're doing that continue to drive productivity in labor hours. And that's how we manage that equation. 
Operator: Our next question is coming from John Heinbockel from Guggenheim. 
John Heinbockel: I know you guys added 4.5 million roughly loyalty customers this year. And I know omnichannel is up 3x. How many actual omnichannel households did you add relative to that? I'm curious, how many are coming as omnichannel? And then how big is the omnichannel customer base today as part of that 25.4 million? 
Vivek Sankaran: Yes, John, let me put it this way. We are -- our mix of eCommerce has improved dramatically. But we're still behind some others, right? And that's why we are going to continue to invest in this business because we know that it's resonating. 
 We haven't passed out those numbers that you're -- that you just asked me about. But we are excited about the growth rate. We know who they are, and we're going to continue to do to invest in it so the eCommerce business becomes a bigger mix. We've got a few points of catch-up to do on that. 
John Heinbockel: And I think you said 11 million. That was total customers? [ 4.5 ]... 
Vivek Sankaran: Identifiable, John. Yes, identifiable. So that's pretty good, right, because we know some -- because they're identifiable, we know what they're buying. We know what they're buying, whether they're going to engage in eComm, whether -- so that's the part that we're excited about. It's 11 million identifiable customers. 
John Heinbockel: That you added. The 4.5 million were loyalty, right? 
Vivek Sankaran: That's right. 
John Heinbockel: So you still -- in theory, I guess, of that 5 million -- 6.5 million that are not -- that are identifiable but not loyalty... 
Vivek Sankaran: That's right. 
John Heinbockel: What's your -- how do you go about them to be loyal customers? And how optimistic are you that you can do that? 
Vivek Sankaran: And yes, that's -- so our loyalty team is now expanding the way they're thinking about it, John. It used to be that our loyalty program was primarily -- had a financial incentive. It was rewards on fuel or pricing. And now we're starting to open up other things that you'll see us launching in the market so that we can get more of those other 6 million customers engaged in the loyalty program. 
 Not -- price isn't the answer for everybody. Some people care about convenience. Some people care about experiences, and that's what we're going towards. 
Operator: Our next question is coming from Rupesh Parikh from Oppenheimer. 
Rupesh Parikh: So going back to your CapEx guidance for this year, you guided for an increase in CapEx of $1.9 billion to $2 billion. As we look forward, should we think about this as a right -- the new base level to think about future years as well? 
Vivek Sankaran: No, don't. Don't think of it as the new base level. We would -- you remember, recall, we were at about $1.5 billion in the past, and we would keep it to that ratio, a percentage of sales about, say, 2.5% of sales, what you should expect in the long run algorithm for us. 
 We are just being opportunistic here. When we have the cash, we're pulling forward initiatives that we know are clear ROI winners, right? So we've done that. And then in that $1.9 billion, you'll see a substantial investment in our digital agenda, building digital capabilities around the company so we can monetize all those things I just told John about those 11 million additional customers. 
Rupesh Parikh: Great. And then maybe just one follow-up question on free cash flow. I know -- I think this year, there's going to be some specific items that may weigh in your cash flow such as that payroll tax deferral. So Bob, just curious if you can just share any other discrete items we should be thinking about on the free cash flow side for this year? 
Robert Dimond: You're correct on the free cash flow side -- or I'm sorry, on the CARES Act, that was about 200 -- just over $200 million that we'll have to pay back in the fourth quarter of this year. Outside of that, there's really nothing out of the ordinary. 
Operator: We've reached the end of our question-and-answer session. I would like to turn the floor back over for any further or closing comments. 
Melissa Plaisance: Very good. Thank you, everyone, for participating today. I wanted to point out that there is an infographic that has been made available on our website summarizing many of the statistics from this call today. And if there are any follow up calls, Cody and I will be available over the course of the day and the rest of the week. Thank you so much. 
Vivek Sankaran: Thank you, all. 
Robert Dimond: Thanks. 
Melissa Plaisance: Bye-bye. 
Operator: Thank you. That does conclude today's teleconference and the webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.